Gustav Kallehave Hoegh: Good afternoon, everyone, and welcome to our conference call following the release of our revised outlook for 2025 and interim report for H1 2025 after market closed yesterday. For the call today, we plan to run through a presentation followed by a Q&A session as per usual. The presentation should now be available on our website. We plan for the call to last no more than 1 hour in total, including the Q&A session. So please limit yourself to no more than 2 questions at a time. Thank you. On the call today, we have Søren Nielsen, our President and CEO; René Schneider, our CFO; and myself, Gustav Hoegh from the IR team. That is all for the practical elements. And with that, over to you, Søren.
Søren Nielsen: Yes. Thank you very much, Gustav, and welcome, everybody. Agenda today, business highlights, key financial takeaways and sustainability advancements. And then business area, a little more details and color on that before Rene will go through group financials, and I will finish off with the revised outlook, and then we step into Q&A. Business highlight for Demant in first half of 2025. #1 headline is a global hearing aid market that grew below the normal 4% to 6% growth expectation. This is purely attributed to various elements of macroeconomic uncertainty and turmoil in global trade, et cetera, that have led to consumers being less hesitant to start wearing hearing aids or postponing their upgrades. In hearing aids, we saw good growth in unit sales, although growth was negatively impacted by mix effects that led to a lower ASP. This is purely attributed to market share gains outside U.S. and lower growth in U.S. that leads to a decline in our global ASP that outbalanced the growth coming from selling more units. Hearing Care grew in line with the market in first half with some growth deceleration from Q1 into Q2, partly driven by the current environment and consumer cautiousness. The effect was particularly in U.S. I will though say there is -- be careful not to overinterpret it. There's always a little bit of timing and weather things close in March or April. So look at H1, I think, most importantly. Diagnostics continued to be impacted by negative market developments, particularly in the U.S., also macroeconomic uncertainty, which has led to a postponement of investments, good order book, but lower execution than planned and expected and normal. And we see, yes, many reasons for these things being pushed a bit out in time. In June, as already announced, we agreed to acquire the KIND Group, one of the world's leading retailers of hearing aids with around 650 hearing clinics primarily in Germany. Key financial takeaways from the first half, putting all this together, group organic growth of 0%, which is below expectations due to the lower- than-normal hearing health care market growth and lower sales to a large U.S. retailer. Group gross margin declined 0.8 percentage points, which is slightly more than expected following the unfavorable geography and mix -- geography mix changes, especially in hearing aids, which led to the already spoken to lowering of our global average selling price. OpEx, very strong control and following the line from last year. So we saw just 1% organic growth, reflecting, yes, a lower than -- lowering of the run rate into the year and tight focus. Reported growth was 4%, and that's primarily due to acquisitions. EBIT before special items, DKK 1.849 billion. EBIT margin before special items contracted. Again, we had to sell more units to deliver the same revenue and therefore, a negative impact on profitability of the business. And this comes again from unfavorable mix changes in geographies, meaning in which countries we sell what and therefore, lower-than-planned operating leverage. Despite lower profitability, we have delivered very solid cash flow -- of cash flow from operation of a little north of DKK 1.5 billion and free cash flow of DKK 1.126 billion. The outlook, we have adjusted the expectation for the global hearing aid market from previously 1% to 5% growth in value to now 1% to 3%. And our EBIT due to the development in geography mix adjusted downwards from previously EUR 4.1 billion to EUR 4.5 billion to now EUR 3.9 billion to EUR 4.3 billion. Share buyback, as announced in June, paused following the agreement to acquire the KIND Group. Sustainability progress in first half, we have helped more people hear better. The pool of people that wear hearing aid from Demant have grown positive and in line -- reasonably in line with expectations. The Scope 1 and 2 market-based greenhouse gas emissions have decreased by 5% as we have managed to increase our share of renewable electricity by 5% or increase our share of renewable, reduce the emitting part, and this is in line with our expectations. Number of highly exposed employees trained in Demant's code of conduct have reached 94%, and we will soon have the target of 100% achieved. Business area review, starting with the global hearing aid market in H1 illustrated in the table, we saw a Q1 of 2% with a very negative development in the U.S. commercial market of minus 5% and VA minus 1%. So North America in general, going down 3% and Europe in the softer side of the normal range of 4% to 6%. But here in second quarter, we have seen almost in line with expectations, a somewhat normalization of the U.S. commercial market, still a soft VA channel, but Europe that have not delivered the growth despite of the strong growth in France, then rest of Europe have not lived up to expectations, and we see contraction in several markets, again, attributed to consumer cautiousness driven by macroeconomic uncertainties. ASP development for the global market still assumed to be negative with 1% for the half year. So again, in value at 2% growth for the first half year. And in Europe, expected strong in France. In NHS, growth was negative due to very strong comps, excluding France and NHS growth decelerated. It was still slightly positive in Germany, but downwards and so for a number of other European markets. Growth in North America, as already said, accelerated, whereas in Canada, we saw a negative development in Q2, also driven by macroeconomic uncertainties. Rest of the world saw a normal growth despite flattish growth in China and Japan. In Australia, growth was negative. We estimated several export markets saw good growth. Hearing Aids, we saw, again, unit growth in Q2 being strong. We clearly took a global share in market share in units. However, with a continued unfortunate development in the mix of geographies, growing outside U.S. in total and in markets with less strong ASP, whereas we saw negative growth in both U.S. or in U.S. and some of the European markets, Canada still delivered strong growth. Looking at the Hearing Care in second quarter, yes, a slower momentum. But again, don't overinterpret. It is also some timing of closing orders between the first and the second quarter. We see still some challenges in generating traffic from new users, and we attribute this to the continued macroeconomic uncertainty that impact users and make them more cautious and a little more than normal have chosen to postpone their first hearing aid further and also some upgrades are being prolonged. Growth mainly in units, but we also saw a slight ASP uplift due to also geography mixes. We saw good growth in France, which accelerated due to the uptake in the market. We saw strong growth in Germany. We highlight here Sweden because of changes in local regulation. North America, negative growth in U.S. due to consumer cautiousness, but also, I would say, some timing of closing of orders and then negative growth in Canada due to negative market development, strong growth in China, driven by ASP tailwind and slightly negative growth in Australia. Diagnostic in second quarter, continued headwind from soft market developments, especially in U.S. So growth decelerated from Q1 to Q2, in line with the market growth rate, growth impacted by negative market development, particularly in the U.S. where macroeconomic uncertainties led to a lower level of investments in equipment. We simply see, again, orders being postponed and installed later than expected. Of course, we hope and assume this will pick up if some more clarity around the financial development in U.S. returns. Europe, positive in France, some negative development in U.K., again, also NHS being a little tight on investment in new equipment, strong growth in several medium-sized markets in Europe, negative growth in U.S., and this is by far the biggest factor together with Canada and North America in total. And again, Asia Pacific outside China, doing fine, but in China, still impacted by not a sufficient product range of Made in China products to participate in all government tenders. And with that, over to you, Rene.
René Schneider: Thank you, Søren. Starting with the revenue in the first half year. So we report an organic growth of 0%, which was below our expectations and where, in particular, it deviates from our latest expectations was a lower-than-normal hearing health care market growth and also lower sales in particular to a large U.S. retailer. The acquisitive growth contributed by 3%, primarily related to Hearing Care, but we also saw a small positive contribution from Hearing Aids. We continue to see headwind from foreign exchange rates with a minus 1% due to the adverse development in, again, particularly the U.S. dollar. Our gross profit in the first half year was just above DKK 8.5 billion, which is flat versus first half year of '24. The gross margin declined by 0.8 percentage points versus last year. While we did expect a decrease due to a particularly strong gross margin in the first half year of last year, where we had a high-end hearing aid product launch. This development was slightly worse than we had expected. The gross margin decline is primarily the result of ASP headwind in hearing aids, as already reviewed, and also a slight decrease in the gross margin in Diagnostics. When it comes to FX, it also had a slightly negative impact on the gross margin. So when we speak to our normal 76% to 77% gross margin range, you will see that we are in the very low end of that normal range. And when we look into H2, we also expect to be towards the lower end of that range. On the operating expenses in the first half year, we have managed that tightly, and we thus increased our group OpEx by 1% organically, again, reflecting the low run rate going into the year following our cost-saving effort in the second half year of last year and also our continued focus on cost management. Acquisitions added 4%, in line with our acquisition strategy. And also here, we see a negative, you can say, effect from FX. Maybe also here a comment on what the run rate into H2 is. We estimate for now that when we look at the actual reported operating expenses in total, it will be very much in line with what we saw actually reported in the first half year. So sequentially, no growth in the reported number on OpEx for the group, which is a demonstration of our continued commitment to strong cost savings effort. It's important to highlight that despite this, we continue to invest in future hearing aid introductions. That brings us to EBIT before special items. It was in the first half year, DKK 1.849 billion, which is a decrease of 11% compared to the same period of last year and an EBIT margin contraction of 2.3 percentage points. The EBIT margin before special items was negatively impacted by lower- than-normal market growth, lower-than-planned operating leverage as a consequence of market growth, you can say, and as well as an unfavorable geographical mix. Exchange rates also significantly impact our group EBIT with around DKK 50 million in the first half year, of which most relates to the second quarter. This is, you can say, an FX impact that would also continue into H2 with a similar quarterly impact. We did not recognize any special items in the first half year. Then lastly -- sorry, not lastly, but we continue on the cash flow side, continue to be very strong, actually, a slight positive growth in cash flow from operations of 1% due to strong net working capital management. We continue CapEx investment in line with our mid- to long-term expectations of 4%. We had cash out related to acquisitions of just shy of DKK 850 million related to bolt-on acquisitions in Hearing Care, so very much in line with our strategy. We did buy back shares amounting to DKK 582 million until we suspended our share buyback program in connection with our agreement to acquire the KIND Group. Then on balance sheet items, a quick note. It increased reportedly 1%, 2% from organic growth, 3% from acquisitions and minus 4% from FX. The main swings are say, other current assets, mainly due to unrealized gain on financial contracts from our hedging activities. The net working capital declined by 3% and our gearing at the end of the period was 2.5%, which is within our mid- to long-term target of 2% to 2.5%. With that, Søren, I think we have the outlook.
Søren Nielsen: Yes. Thank you very much, Rene. And again, many things are unchanged. But of course, we, as already stated, have had to downwards adjust our expectation for the full year market growth previously 2% to 4%, but we take 1 more percentage of the units and therefore, lower the expectations in value to 1% to 3% [indiscernible] and maintain our view on the French market that still in units deliver high single digits in -- on the tracking to deliver high single digits unit growth for the full year. Cash allocated to acquisitions, as earlier announced, higher than normal and also the -- in previous statement, announced acquisition of KIND. And then, yes, nothing else to that. And then again, due to the unfavorable mix change in geography and having to sell more units to get to the same revenue, we have had to lower our expectations for full year profitability from previously DKK 4.1 billion to DKK 4.5 billion to now DKK 3.9 billion to DKK 4.3 million. I think that's it for now. Let's go to the Q&A session.
Operator: [Operator Instructions] And our first question today comes from Hassan Al-Wakeel from Barclays.
Hassan Al-Wakeel: I have 2, please. Firstly, just on Costco. When we spoke last Rene, you were not expecting material share changes in this channel given Sonova's return and have baked in some uncertainty into the guide. Has the share change surprised and become more material? And do you think this has now stabilized? And then secondly, could you elaborate on trends across key European markets? I know you haven't specifically called out a COVID anniversary effect, but do you think this is significant in some of the markets you operate in? And where -- which markets do you believe you're gaining share in Europe?
Søren Nielsen: Yes. Maybe if I can allow to follow up on the question, even though it was semi-addressed to Rene. In the large retailer you mentioned, it was not our assumption that there would be a full addition of one more supplier. And our assumption was, if anything changed, it would have been a replacement of one. This didn't happen. And yes, that have changed both what we have seen during second quarter and also our expectation for share in second half in that channel. So it is the natural consequence of splitting sales out on more suppliers. Trends across Europe, it's very difficult to know exactly what is the root cause to the lower demand that we see and the increased effort we have to do in our Hearing Care business to generate enough traffic. We attribute it to general uncertainty and then you can have various speculations around things such as the renewal rate after COVID. We are a little cautious on that because this normally spreads out for a relatively long period and also have to do with when you actually call on the group and you can pull things a little bit forward and so on. So we don't attribute a lot to that. But that's, of course, always difficult to exactly point out. There's also been and continue to be a collation to very hot summer in certain European countries and so on. Yes, if we zoom into specific regions or specific markets, yes, you can find some elements of that. On the other hand, these things have a tendency to catch up relatively quickly. So if you look at it from a full first half year, then what we have seen also in Q2, we mainly attribute to a user, consumer cautiousness and overall macroeconomic uncertainty.
Hassan Al-Wakeel: Very helpful. If I could just follow up on Costco. Has the share change stabilized to your mind? And what are you baking into the guide for the second half?
Søren Nielsen: Yes. We look at it on a longer period, you have to do -- this is bulk shipments, so it can vary a lot. And you have no transparency to the total market or the total buying. So you have certain assumptions for the consumption by the customer and you over 1 to 2 months look at your own share. And it's too early to draw conclusions on whether it's stable or not. You would have to see trends over a little bit longer period. But this is updated view where we take out, I would say, material share in second half. Otherwise, we wouldn't mention it.
Operator: Our next question comes from Martin Parkhoi from SEB.
Martin Parkhoi: Martin Parkhoi [ probably more closer ]. But Martin Parkhoi, SEB. Just a follow-up on Costco, but more on the side of profitability. You cut your midpoint of your EBIT guidance by DKK 200 million. And I'm pretty sure the operational leverage are pretty high in Costco. So can you maybe -- I understand you won't say the full number, but if we look at the DKK 200 million split, how much is explained by the weaker market and actually how much is explained by lowest operational leverage in Costco? And then second question, just on the -- what you think -- put out in the report that you mentioned impact from future product launches on production cost and OpEx in the second half. Two questions on that. Has there been any changes to that cost assumption during 2005 since you put it out now? And is this higher than normal? What should we read into that? And why do you actually put it out there?
Søren Nielsen: Yes. Thank you. I don't know, Rene, will you comment on the...
René Schneider: On the -- if you decompose the midpoint of the profit adjustment, basically, you could boil it down to 2/3 being the market, 1/3 being Costco and then partly offset by, you can say, even further focus on the OpEx side, which could counterbalance some of the effect. That brings you to DKK 200 million. And on the OpEx, no, you can say these are activities that we have planned with throughout the year. And thus, it has not materially at least changed in second half year compared to our original expectation. It's just important to underline that despite the efforts we undertake on the cost side that it does not mean that we are not capable of funding and undertake the activities related to future hearing aid introductions.
Søren Nielsen: And it's, of course, a difference between last year where such things did not take place in this year. So it's just meaningful in the year- over-year comparison.
Operator: Our next question comes from Veronika Dubajova from Citi.
Veronika Dubajova: I will keep it to 2, please. One, just maybe try to circle back on kind of any comment you can give us on what you're seeing in the markets when you look at July and August. I'm not asking for commentary on your performance, but obviously, in the regions where you do have monthly data, I'm curious if you could comment on whether July volumes are improving, staying stable or deteriorating. And in particularly, I guess I'm curious about U.S., Germany and France to the extent that you see those numbers. And then I'll ask my follow-up after that, if that's okay. I'll let you answer that first.
Søren Nielsen: We'll be careful with single month, and we see no material difference than what we have just spoken to for the second half assumption. So things seems to be in line with that.
Veronika Dubajova: Okay. That's helpful. And then maybe just on the product launch spend, and I appreciate you don't want to tell us a lot. But if I kind of look at the normal run rate of OpEx sequentially first half to second half versus what you're guiding for this year, it does imply a meaningful investment into product launches, which is not normally typical in the industry unless we're seeing major product introductions, new platforms, et cetera. So can you maybe sort of talk through what are some of the expenditures that we should be anticipating in the second half and why you feel the need to invest so much at this point in time?
René Schneider: So Veronika, just to get the assumptions, you can say, right for second half year. So what we talk about is no growth in OpEx sequentially. So what you see of actual reported OpEx in the first half year is ballpark what you should report or what you should expect that we report in second half year. So flat growth sequentially. It will, of course, be growth year-over-year because we did, you can say, a massive cost-saving effort in the second half year of last year. So you'll see organically a mid-single-digit growth year-over-year. But sequentially, we will not, as a group, spend more money in second half year than we did in first half year of this year, just to get that precise.
Veronika Dubajova: Okay. And can you talk about some of the activities that you expect to be undertaking to support the product launches you have in mind?
Søren Nielsen: I mean they are, of course, of the natural kind when you do product launches as we always do. That's seeing customers having sales and marketing activities, various launch costs. Don't read into this that they are significantly different than you would normally see, but it is just a difference between, as Rene said, a very tight budget or spend second half last year and this year, and that's just what we flagged.
Operator: And our next question comes from Maja Stephanie Pataki from Kepler.
Maja Pataki: If we just take a step back and look at market growth, it has been somehow volatile over the last few years. And of course, uncertainty has been massive. It started with COVID. We had inflation. Now we have challenging political conditions with the U.S. tariffs, everything. So this uncertainty that we've seen over the last couple of years, at least for now, we need to assume that it is permanent. How do you think about planning on a 3-year basis? Do you believe that maybe because market growth is not straightforward 4% to 6%, very great differences across markets. Do you think you need to take a different approach in how you move in markets? And a follow-up on that, how are you thinking on the cost side? Because I mean, if you look at your margin trajectory over the last couple of years, it was not too exciting. So do you think that maybe it's time for a more thorough restructuring process to get margins up?
Søren Nielsen: Yes. Thank you very much, Maja. I definitely agree that the volatility quarter-by-quarter, half year by half year have definitely increased compared to what we have seen in the past. But both ways, we have also seen half years and quarters with very high growth following quickly after the decline. So it's also important you are still there and ready when the market starts growing again. So we don't see the fundamentals being changed. But yes, the volatility and dynamics being more. But the absolute size of the market, we will see smaller swings around a relatively stable line. Your second part of your question, it does, of course, as always, call on constantly looking for cost efficiencies, which we do when we just highlighted a modest 1% organic growth in a world full of inflation. It is because we take a slightly different approach and do more than maybe done in the past to mitigate these effects. So we don't end up taking out what needs to be done on the sales side, on the R&D side, et cetera, but of course, look for scale effects and cost efficiencies wherever possible. And of course, you could also say, looking into the future, we definitely also reflect on additional opportunities to build and regain back some of the lost margin. It is clearly still our ambition to run the business with a higher margin than you have seen here in the first half, where you have also seen a weaker-than-expected market.
Operator: Our next question comes from Graham Doyle from UBS.
Graham Doyle: Two questions for me. Just firstly, in relation to those costs around future product developments. I think we discussed in the past around how you would typically have a product launch in H2. And obviously, we haven't had anything as yet. So it would be good to understand one thing which is specifically -- when you think about the philosophy of launching a product, historically, the idea particularly to the platform is to do so with enough time to get into the VA. So could you just let me know if that's changed in terms of your approach to that? Or would you still aim if you were launching some sort of platform to make sure you make the VA window?
Søren Nielsen: I would speak in generic terms. And yes, we still plan to do 2 significant launches, whether they are platform or non-platforms a year. It is also our plan to do that this year. And the exact timing is always, of course, subject to the ambitions and the finalization and make sure things are truly ready and ramped up and so on. It is always good to try to hit the VA window. It is not always possible. Our general principle is we will tell about new products when they are ready for sales because we want to prevent potential holdback in the existing business until we can actually really introduce and deliver to customers. That's also the case this half year. So yes, we are still committed to launches 2 times a year. And yes, we have a good pipeline for both this year and the coming years. [Audio Gap] Operator, can you hear me? Hello, operator any -- are we coming through? Hello, operator [indiscernible] can you hear me?
Operator: I can hear you. Can you hear me?
Søren Nielsen: Yes. We hear you.
Operator: All right. Very good. I can join this line back in. There is a little bit of an echo that I can hear my voice coming back to me, but now it seems better. Can you still hear me?
Søren Nielsen: An echo. We've a little bit humming, but that's it.
René Schneider: We're actually pulled out of the call right now. Can you [indiscernible] so we're speaking privately.
Søren Nielsen: We don't think so. It doesn't look like from our data. Should we take the next -- please take the next question, operator.
Operator: All right. One moment, let me join the line back in. This is the conference operator. We have the speaker connection reestablished. So Mr. Doyle, you can proceed with your question.
Graham Doyle: Awesome. Sorry, so what I was saying is you've described in the past that you would typically launch new products in the second half -- were in the second half. You've talked in this document about increased cost in terms of investment around new products. And I suppose the question I have is just your philosophy historically has been to put new products into the VA channel as it's an important channel. Is that still a reasonable assumption to make going forward?
Søren Nielsen: Graham, I got your question. I got your question.
Graham Doyle: So, go ahead.
Søren Nielsen: Yes, I'll repeat the answer and then we can take your second. Simpler version this time in respect of time. We're still committed to doing 2 launches a year, and we also will this year. We have a good strong pipeline due to the risk of people holding back on existing orders. We tell new products when they are ready to be sold and ramped up sufficiently, and that will also be the case this time around. It is, of course, always preferential to try to catch a window of like VA, you can't always do that, and I cannot comment further on shortcoming launches this time. Any second part of your question?
Operator: Gentlemen, it appears Graham has removed himself from the Q&A. So we'll move on to our next. Maybe Carsten from Danske Bank.
Carsten Lønborg Madsen: Carsten from Danske Bank. I don't know. I couldn't really hear.
Søren Nielsen: We hear you, Carsten. Just go ahead.
Carsten Lønborg Madsen: Carsten from Danske Bank. I have just a question for the remaining part of the year. You delivered 0% organic growth in the first part of the year. And in terms of the midrange of your guide of, let's say, 2% for the full year, you need sort of quite a comeback here in the second part of the year. So which part of your divisions or franchises do you think will react first? Is it sort of wholesale, diagnostics, retail, et cetera? And can I also just get a sort of confirmation or what should we call it that Diagnostics will be kind of challenged for the rest of the year? Or what is your view on Diagnostics?
Søren Nielsen: Yes. Thank you, Carsten. Let me try to high level. It will, of course, be mainly simply due to the size of it driven by Hearing Aids and Hearing Care. And there is both something in the comps. We again had a number of things in Q1. We have seen good share gain globally in second quarter. So we, of course, have the headwind in the U.S. business driven by a large retailer. But other than that, generally good momentum in the business. And that's the main reason together with compared to first half, some improvements in the market. Diagnostic is a little more uncertain and related to, you could say, an increased investment level in U.S. and the exact timing of that, we cannot really say. So not too specific on the individual outlook and the growth expectation for the various business. But it has to be driven and will be driven by Hearing Aids and Hearing Care.
Operator: Our next question comes from Niels Granholm-Leth from DNB Carnegie.
Niels Granholm-Leth: On my first question, are you able to recognize any effect from this 5-year COVID close down that Amplifon alluded to on their conference call? Secondly, could you talk about your expectations for your net financial items for the full year, given that you expect to close the KIND acquisition, say, around the beginning of quarter 4?
Søren Nielsen: I'll take the first. I think I actually commented a little bit on it earlier. I don't know if you got it. We, of course, can see that the exact months, some of them in Q2, the database had less prospects that were fitted there. But people don't just like all come in, in one go. So when you look at the actual distribution, we don't attribute a lot to that effect. Maybe it's part of it, but we think, yes, macroeconomic uncertainty is far bigger. So no, we don't attribute a lot to that. You can also do the in certain regions and smaller areas, you can definitely see some effect of weather and so on, but it typically come back quickly. So strong hearing aid market in first half.
René Schneider: Yes. On net financials, Niels, what we expect for the full year right now is slightly more negative than last year, driven by higher debt and also growth in our retail business, but partly offset by lower interest rates. We have not built in any expectations on or from KIND, neither in financials nor in EBIT or sales since we don't have clarity on the date of closing of the transaction. But once we do that, we will update our outlook accordingly.
Operator: Our next question comes from Martin Brenoe from Nordea.
Martin Brenoe: Martin Brenoe from Nordea. Just to understand it clearly in the retail division in Hearing Care, you have been quite exposed to markets that are actually growing, France, Germany, also U.S. being up. So can you maybe just elaborate a little bit whether the sluggish growth in Q2 is just purely phasing or if there is anything to call out? And on that regard, you had some comments about the market slowing by the end of the quarter. Is that also what you are seeing in the beginning of Q3? That's the first question. And then I'll wait with the second question.
Søren Nielsen: Thank you, Martin. I think we actually have to take it a little bit market by market. France, good as expected uptake in the market. We follow it in our business. Germany did was part of the declining growth and less-than-expected growth in Europe on the market side, we did well in that market in Germany specifically. U.S. grew also as expected in the market. We did not capture as much of that as one could expect. And in U.S., I would attribute some of it to timing of activities and when you close and then the level of pipeline you carry into the next month and so on. So for U.S., yes, a less strong performance isolated in Q2. But on the other hand, also a stronger-than-expected performance in Q1. And if you look at it in the first half year, still an improved U.S. business compared to what we have seen in recent years and nothing to call out and alarming, but sequentially between the 2 quarters, a little bit out of sync. But for the half year, I would say, on expectations.
Martin Brenoe: Okay. That's very clear. And then just as a follow-up question, I guess that you've also noticed on this call in general that everybody and their mother are speculating whether you'll launch a product sooner rather than later. Do you think that you have also seen some retailers holding back a little bit on the anticipation of new products coming?
Søren Nielsen: No, I think the rumors are very weak in the market. They are particularly much stronger among the investment community.
Operator: Our next question comes from Oliver Metzger from ODDO BHF.
Oliver Metzger: The first is on the overall weakness of the hearing aid market. So Maja asked also in this direction. But if I remember a station almost 3 years ago, that was about repurchases where we see some postponement. Now I remember you talked also about the first-time users where you saw some hesitancy. So can you first classify between the decline between the first-time users and the repurchases? And also in a more bigger context in this context, it seems that the overall hearing aid market has become more volatile for decades. You talked about very high stability [ even ] was COVID, inflation a few years ago. And now it's clearly more of a consumer confidence. So it would be great to hear what has changed in the market fundamentals that some external factors play even a bigger role than they did in the past? And the other one is very quick on China, the ASP tailwind you reported in Hearing Care, more background on that and how long it is expected to last?
Søren Nielsen: Yes. Thank you very much. It's very difficult to make sure you compare apples-to-apples when you look at first-time use and upgrades because what was the effort you put behind it. So what we can see is it takes more effort to generate sufficient traffic of new -- first- time users to the business. It's always more costly to do that than it is to call on your database. But at some stage, even though you can get a little bit extra out of the database, you have to get back to the first-time users. So you feel the lack of market growth more coming from lack of new users because it's harder. But in reality, I would say both effects are in there and it's difficult to take them apart. But we clearly sense that it is very easy to postpone your first interaction and contact when reached out to for your first hearing aid, and that is a clear factor here in the first half that we have seen. And in Europe, stronger here in the second quarter than in the first quarter. And to the volatility, I don't think the fundamentals have changed. I really don't. I just think the number of events that could cause it have been much more frequent. We typically talked about the financial crisis in 10 years ago or 5 years ago, and then it took another 5 and 10 years until something really material happened. We also know it has to be something that somehow impact our key audience, senior citizens. So it's not unemployment rates. It's not the annual salary development and stuff like that. It is typically in U.S. share price development. And we can also see this time that it followed that pretty closely. And then in Europe, as there is more reimbursement, it comes a little later, but it's kind of sinks in more from a psychological point of view than it actually is financial that things are a little uncertain and there's a war going on and now there's also a conflict in the Middle East and so on. And that just somehow sets in. And then in some countries, tight government budgets can also sometimes lead to increased waiting list, stuff like that. But I don't think any of the fundamentals have changed. The frequency of these events are just higher. And then China and ASP, it comes from -- China is a country with no professional education. And the more we invest in training and education, the better performance we get in selling better quality devices to people. And that's an effort we have -- something we put a lot of effort into and see results from. So it stems from selling higher and higher in China and the education level in China of hearing care professional is lower than we see in most other mature markets around the world.
Operator: Our next question comes from Andjela Bozinovic from BNP Paribas.
Andjela Bozinovic: My first question is on the U.S. market. And if you can comment on specifically managed care. How are you evolving with the market share in the channel and specifically with UnitedHealth? And the second part of the question is, again, on Costco. If I remember well, you were the leader in the channel before we have had Sonova back. So is this still the case? Or you are seeing greater market share loss?
Søren Nielsen: Yes. Thank you for your 2 questions. And as it has been published, we have changed our offering and product offering, specifically, yes, to United. Other than that, we don't go into the details of individual plans and accounts. But overall, yes, positive. We have seen growing share during the second quarter. And it's also part of, you could say, the share gain outside large retail in U.S. that we have seen from first quarter into second quarter and is part of the momentum we carry into the second half. Specifically on larger retailer, we believe we don't know, but we believe we are the largest player. We still believe we are that. I'm just saying when there is 4 instead of 3, you will see everybody losing some share. And I'm not -- I can't tell that any have lost more than others. We still have a good, strong business, but it is lower than it was a year ago.
Operator: Our next question comes from Susannah Ludwig from Bernstein.
Susannah Ludwig: I have 2, please. I guess you talked about gaining unit market share in Q2, both sequentially and year-over-year. However, is it fair to assume that this has primarily been in lower ASP geographies? Because it looks like external growth in the Europe -- in U.S. and Europe was still negative versus unit growth in those markets? Or was there also sort of an ASP negative impact within these geographies that's sort of making your unit growth closer to the market there? And then second, could you just give a little bit more clarity on the sort of negative wholesale performance in the U.S. despite the rebound in the U.S. market to plus 4% in the quarter. I guess how much of that was the headwind from Costco? And what were the other factors driving sort of the underperformance versus what we see as sort of U.S. commercial market growth?
Søren Nielsen: Yes. Thank you very much. You're absolutely right. It is geographies with lower-than-average global ASP where we have seen most growth and therefore, our ASP go down. There is big differences across the European markets, if that's how I got your question. We are doing well in France, as an example, but the product mix in France is also going down as many of the people that come in for renewal have a free-to-client category of hearing aids. They are significantly less priced on wholesale level than the premium products. So the ASP in the French market go down. It doesn't mean that less people get in absolute terms, a premium product, but the market growth predominantly happens in the free-to-client category. So putting it all together, yes, unit growth above market growth in Q2, ASP down due to geographic mix, that's spot on. U.S. outside large retail is a good story going from Q1 into Q2. We have seen -- you just -- the question was just raised to managed care. That's an example of share gain. We have also seen a good share gain from sequentially Q1 into Q2 with the independent, and we see that as a testament to the strength of our product range after numerous introductions from competitors that have been trialed out. That is how it works, that many customers try out the new stuff. And then you see the reaction. We are positive on the rebound we have seen in Q2. We still see a little bit of year-over-year loss, but a strong development from Q1 into Q2. So again, also a momentum we carry with us into the second half. And then last channel in U.S. is VA, where we have seen some growth year-over-year in share up until the introduction of new products from competition. Then you see a natural also trial there. We don't know how it pans out after things have kind of settled. But also there, we have seen and do see some of the account or locations that have tried new stuff to return to Oticon Intent specifically, which still do a very good job in VA and among the independent dispensers. So you can only attribute the -- the lack of performance, if you say so, in the second quarter in U.S. to large retail.
Susannah Ludwig: And is there any ASP impact in Q2 in the U.S.? Or is it really like in, say, the independent channel or ASP flat? Or is there any negative ASP impact in any of those channels?
Søren Nielsen: No, all that is very stable. It is also within U.S. a mix change. So you could actually say when we grow relative to Q1 with the independent and lose a bit on large retail, our U.S. ASP goes up. So there are so many channels, geography and ending up being a product mix effect that is what ends up constituting the ASP. So it's a relatively dynamic also within a market parameter depending on your actual mix of sales.
Operator: Our next question comes from Robert Davies from Morgan Stanley.
Robert John Davies: One was just on France. Your comment on 2025 doing high single digit in terms of units. Are you already at that run rate to get there? Or are you baking in sort of further acceleration through 3Q and 4Q? That was my first question. And then the other one was just around the success of, I guess, your peers in AI-enabled hearing aid. What are you kind of hearing in terms of feedback of the sort of main features that have gone well or not well or sort of things you think you could still add in terms of new product introductions. It's been speculated already in terms of what you could bring to market. I'd just be kind of curious how you think that sort of excitement level between the audiologist has gone and their appetite to sort of take another potentially AI-enabled hearing aid in the market.
Søren Nielsen: Yes. On France, it's a gradual uptake during the first half and also during the second quarter. So just by that, the growth in the second half will be above the first half, and there is -- we are still not fully at the run rate expected. On AI, I would like to highlight that we launched the first AI-driven technology in the industry and still see ourselves as among the absolute leaders in that. There is a very strong correlation between what kind of signal processing you do and what kind of battery you carry and whether things are on all the time or something you can use a little bit in special situations. Our strategy and approach is to make sure it's always doing a job in making sure you manage the dynamic listening environment you're in. The user don't have to switch anything on and off, and it does not compromise size of the devices. And that's clearly the echo we hear from customers that the performance when it comes to end user satisfaction, solving hearing and noise, solving everyday life, our Oticon Intent based on the AI algorithms we have do a fantastic job.
Operator: And ladies and gentlemen, with that, we'll be ending today's question-and-answer session. I'd like to turn the conference call back over to Gustav for any closing remarks.
Gustav Kallehave Hoegh: Thank you, operator, and thank you all for joining us on the call this afternoon. We look very much forward to seeing many of you on the road in the coming weeks. And if you do have any follow-up questions, please reach out to us in the IR team directly after the call, and we'll, of course, do our best to help you out. Have a good day.